Operator: Hello, and welcome to BD's Fourth Fiscal Quarter 2008 Earnings Call. At the request of BD, today's call is being recorded. It will be available for replay through Wednesday, November 12th on the Investors page of the bd.com website or by phone at 800-642-1687 for domestic calls, and area code 706-645-9291 for international calls, using conference ID 67742305. I would like to inform all parties that your lines have been placed in a listen-only mode until the question-and-answer segment. Beginning today's call is Ms. Patricia Spinella, Director of Investor Relations. Ms. Spinella, you may begin.
Patricia A. Spinella - Director of Investor Relations: Thank you. Good morning, everyone, and thank you for joining us to review our fourth fiscal quarter results. During today's call, we will make some forward-looking statements. And it's possible that actual results could differ from our expectations. Factors that could cause such differences appear in our fourth quarter press release and in the MD&A sections of our recent SEC filings. We will also discuss some non-GAAP financial measures with respect to our performance. A reconciliation to GAAP measures can be found in our press release and the related financial schedule. A copy of the release which includes the financial schedule is posted on the bd.com website. Joining us this morning are Ed Ludwig, Chairman, President and Chief Executive Officer, John Considine, Vice Chairman and Chief Financial Officer, and BD Executive Vice President, Gary Cohen, Vince Forlenza, and Bill Kozy. I will now turn the call over to John.
John R. Considine - Vice Chairman, Chief Financial Officer and Senior Vice President: Thanks, Pat, and good morning to everyone. I'd assume you all have our earnings release and the attachments we send out this morning. We would like to devote as much time as we can to questions, so my opening comments will be brief. Broadly speaking, there were four topics we're going to address in these comments. The first three will be covered by myself and the fourth by Ed. First we'll review our diluted earnings per share from continuing operations for the fourth quarter in 12 months. Second will describe the key drivers of our revenue and earnings growth. Third, we'll review our earnings guidance for 2009 and fourth, Ed will elaborate on this morning's organizational announcements and then review our overall strategy. Now starting with our earnings the fourth quarter of 2008, we reported diluted EPS was $1.13 increasing by 15% over diluted EPS of $0.98 for the fourth quarter 2007. For our full year 2008, I suggest you turn the table one in the press release, as you can see, reported diluted EPS from continuing operations for 2008 were 446. For fiscal year 2007, we began with reported 2007 diluted EPS of 336 and added back the income process R&D charges are $0.48 for TriPath and class owe. That give us an adjusted diluted EPS of 384 comparing to 446 to the 384 gives us an adjusted EPS of 16% up. Moving to our growth drivers, revenues increased by 11% for the quarter which included approximately 5 percentage points of favorable foreign exchange due primarily to the euro. Our revenue for the full year increased 13% also being favorably impacted by about 6% of foreign currency translation. In our medical segment, fourth quarter revenues grew about 10% led by sales of pre salable drugs delivery devices and continued growth in pen needles, global sales of safety engineered products in the segment grew about 8% to 192 million with particularly strong growth internationally. For the year, revenue and the medical segment grew about 11% reflecting 6 percentage points of favorable foreign exchange, pen needles in our pharmaceutical systems products and safety products and the international markets lead the growth. Global sales of safety engineered products grew about 10% to749 million. Revenues in the diagnostic segment grew about 11% in the fourth quarter led by safety engineered devices, cancer diagnostics and infectious disease testing systems. Global sales of safely engineered products in diagnostics grew about 13% to $213 million. For the year, revenues in the diagnostic segment grew about 13% reflecting an approximate 5 percentage point favorable impacts from foreign exchange. Global sales of safety engineered products grew about 14% to 821 million. Looking at combined medical diagnostics, global safety for the quarter, sales grew 11% to 404 million. The U.S. growth rate was about 3% while ex-U.S. was about 26. For the year combined medical and diagnostics global safety grew about 12% to 1.57 billion with the U.S. growth rate being about 5 and ex- U.S. being about 29. In the Biosciences segment, worldwide revenues grew 16% for the quarter, clinical research instrument, clinical weather and research instruments reagents continue to be the primary growth contributors. For the year, worldwide BD Biosciences revenues grew 16% including about a 6 percentage point favorable impact from foreign exchange. Consistent with the fourth quarter, research and clinical instruments reagents continue to drive growth. Turning to gross profit, our gross profit margin for the year was lower than that of the prior year by about 50 basis points, as improvements resulting from more favorable product mix in productivity, we're more than offset by unfavorable impact of 50 basis points to the higher raw material cost that was primarily resins 20 basis points of startup costs and 30 basis points of asset write-offs. For the year SG&A as a percentage of sales improved to 120 basis points and R&D spending increased about 10% in an absolute terms. Also for the year our operating margin increased by 90 basis points to 21.7% from an adjusted 20.8% in 2007. We generated approximately 1.7 billion of net cash from operations for the year and consistent with our guidance used approximately 450 to repurchase 5 million shares of common stock while investing 600 million in capital expenditures. The last topic I'd like to cover is our guidance for 2009. Our full year reported revenue growth is expected to be between 1% and 2% reflecting 5% to 6% of unfavorable foreign exchange currency translation, and about 7% on an FX-neutral basis at current exchange rates. With BD medical be about flat to 1% on a reported basis and about 6% FX-neutral. BD Diagnostics expected to be 2% to 3% on a reported basis and about 7% on an FX-neutral basis. In Bioscience is expected to be about 3% or 4% reported and about 9% on an FX-neutral basis. We expect to report diluted earnings per share from continuing operations for 2009 to increase by 8% to 10% from the 446 in 2008. I would like to now guide little bit more deeply into our estimated 5% to 6% negative impact of foreign currency translation that we've included in our guidance. Consistent with past practices of hedging certain foreign currency exposures, we once again hedged about 60% of our euro exposure and 100% of each of the Canadian dollar and yen exposures. That 60% by the way reflects what allow us to do hedge able transactions for accounting purposes and not speculative hedging. Now these hedges were in the form of forward contracts in a designed effectively act as quays our insurance policies against the strengthening of the U.S. dollar against these three rates. Hedges cover about 50% of our international sales and operating income exposure. If that number seems a bit low to you recall once again that we're all able to cover about 60% of the euro exposure to allow for this hedge accounting treatment In the past the strategy of covering 50% of our exposure worked very well as an next most significant currency exposure BD has with BD Australian dollar and that represents less than 5% of our overall exposure. As you may recall that the July 20 fourth third quarter earnings call, we provided some preliminary guidance for revenue and earnings growth in fiscal 2009. At that time the U.S. dollars stood at $1.57 to the euro and by our year end September 30th hedge strengthened to $1.40 to the euro. More recently we have seen the dollar fluctuate between the $1.25 and $1.30 to the euro. And additionally, we have seen an extraordinary weakening over the first month of 2009 of nearly all other foreign currencies to which we are exposed. When we take into account all recent declines in foreign currencies, and the affect of our hedges at the current rate versus the dollar, we estimate that we are facing 5% to 6% possible reduction in our revenue growth. Importantly, this is an estimate at this point in time. As rates change, it will change. For example, at September 30th, our hedges were valued at about $16 million. With the further strengthening of the U.S. dollar, they are now worth more. On a positive side, our hedging strategy will mitigate the overall impact of the decline of foreign currencies versus the dollar. Based on current rates for the euro, the Canadian dollar and the yen again being the currencies we hedged and based on the current rates for all other currencies to which we are exposed, we expect a net impact of foreign exchange on our bottom-line line to be in the range of 3% to 4% obviously lower than what we see on the top-line. Moving now on U.S. sales of safety engineered products are estimated to grow to increase 5% to 6% and international safety should grow by 11% to 12%. Overall global safety will therefore increased by about 8% to 9%. We expect our gross profit margin to improve by 40 to 60 basis points. Product mix and productivity again will continue to be favorable along with some price increase affect. We expect this to be offset in part by some continued startup cost as we've discussed before and cost associated with the long-term manufacturing cost reduction program which we plan to initiate during 2009. Regarding raw material cost and then particular resin cost, we do not currently expect any significant impact to our 2009 results. Consistent with previous guidance, we spend about $230 million on resins in 2008 which represented an increase of $30 million of our 2007 spend. Using the price of oil as a rough proxy for our resins, our 2008 spend correlated to an average prevail cost of about 110. Although oil is currently trading on an approximately $70, we haven't yet seen corresponding reductions in our resin costs. Our current guidance assumes oil averages about $90 barrel as a proxy over the last three quarters of 2009. Now the reason I say the last three quarters is because the first quarter will take the inventory that was generated in the fourth quarter of 2008 which lags about three months before it gets into inventory and that cost was about at a proxy of 118. So at the last quarters were to averaged 70, our spend will decrease by just over $10 million. So unless something really changes significantly we do not expect a major variation from this amount and a major benefit therefore to our P&L. SG&A... moving on to SG&A, we expect to improve that by about 80 to 100 basis points as a percentage of revenue. Our R&D spending is expected to increase about 9% to 10% which as a percentage of revenue increases by about 50 basis points. Our overall operating income margin is expected to improve about 100 basis points. Our effective tax rate is projected to be about 27.5% more or less consistent with 2008. And the balance sheet we expect to generate about $1.8 billion in net cash from operations, we should invest about $650 million in capital. We expect to repurchase about $450 million in shares and the average number of fully diluted shares outstanding should be between roughly 250 million. Regarding our recent patent, the last comment I'll make before concluding, regarding recent platinum infringement victory over Tyco or Covedian, we're obviously pleased that the Federal of District Court has upheld the integrity of our intellectual property after six years of litigation in two favorable jury trials. We expect the matter to the appeal and the decision as a result, we'll have nothing included any decision... will not have been included in any forecast that we have issued today, any upside that may or may not result from one-time damages are also not included in and we probably won't say anything other than that on this call. It's difficult for us to speculate regarding the viability of Tyco's plans to introduce substitute non-infringing product. And at this point the only thing we can say for sure is that path for litigation is very long and expensive and we're gratified with the progress towards an ultimate resolution at this dispute. In summary therefore, I would say that except for the impact related to this precipitous decline in foreign currency rates fiscal 2009 performance is in all respects very consistent with what we've achieved in recent years. Our foreign exchange neutral top-line growth would be about 7% bottom-line growth without the effect of foreign exchange would be 11% to 13%. Our profitability again will come from the expansion of our operating margin by roughly 100 basis point and will again generate a significant cash flow at least equal to if not greater than our $7 billion that we've achieved in 2008. So with those remarks, I'd like to turn it over to Ed Ludwig
Edward J. Ludwig - Chairman, Chief Executive Officer and President: Thanks very much John and good morning everyone. Before turning to the discussion of our strategy, I've like to say how pleased I am with the organizational changes we also announce this morning. As you may recall last March, our CFO John that we just heard from was promoted to Vice Chairmen of BD's Board. At that time, we indicated that he plan to retire in 2010. And to provide for a seamless transition of the CFO role, we soon began a search for our new CFO and I am very please to announce that search has successfully culminated in naming Mr. David Elgins, as our new Executive Vice President and CFO effective December 1st. David joins us from Astra Zeneca where he most recently served as CFO of their $13 billion North American Pharmaceuticals business. David's financial and healthcare experience will serve us well as we continued to drive for excellence and financial performance and discipline. I'm also looking forward to continuing to work with John Considine as he focuses he's considerable skills on strategic initiatives and our drive toward achieving world-class capabilities in BD's integrated supply chain and IT and successfully implementing our global enterprise resource planning upgrade. The other major announcement concerning our organizational strengthening is the promotion of Vince Forlenza to the position of President of our company. It has been my honor to work closely with Vince for the past 25 years in numerous capacities within BD. He has experienced in all three business segments, including living in Europe or working in the medical segment between 1986 and 1990. More recently, he led our biosciences and diagnostic segments both of which have been growing very nicely. Since his prior experience managing our technology and planning capacities will further provide a good foundation for his expanded role as President. Today we're facing times of great challenge, as well as great opportunity and the BD Board and I are confident that Vince has the ideal blend that experience envision to play an even greater role in developing and achieving our strategic goals as a company. I'm also pleased that our other most senior leaders will take on new roles. Gary Cohen will assume oversight for our pre-analytical systems business unit. Gary will also assume responsibility for international operations as John Hanson has announced his intention to retire before the end of fiscal 2009. Gary brings extraordinary commitment and deep industry skills and experience to his new role. John Hanson has greatly strengthened our international operations and strategy over the past few years. As you know, international now represents over 50% of BD's revenues. Bill Kozy an outstanding third year veteran of BD will assume responsibility for our medical segment. Bill has deepen broad experience most recently in our Biosciences segment and has also led our manufacturing function and he was also the leader of our initial implementation of an ERP system in 2000. They will bring an insightful and fresh perspective to our industry leading medical segment. Feeling blessed of the companies in any industry that can combined new leaders and proven performers in times of great opportunities and challenges such as we face today. It is my good fortune to be able to work with this outstanding year team in the coming year. Turning now to our strategy for growth in future success, our strong results for the year just ended and our outlook for 2009 continue to validate our confidence that the strategy we have been implement over the past several years is a sound one and it is been effectively executed by our team. We will continue to implement this strategy which rewards both customers and our shareholders. This is the 8th consecutive year in which we've achieved or exceeded our annual objectives. Before turning your questions, I'd like to expand beyond the fiscal 2009 guidance that John has shared with you and briefly elaborate on our strategic direction. As many of you know, BD is the 111 year old Global Medical Technology Company. Our strategy is to serve the world's population as a global leader in developing and applying technologies to solve emerging, important and sometimes underappreciated and fundamental healthcare problems. We are also striving to enable the discovery and development of medical therapies, facilitate faster and more accurate diagnosis, to accelerate and improve the treatment of disease and provide unique and affordable devices to deliver drugs, vaccines into developed... and developing markets. We're also striving for leverage and expand our deep expertise and distinctive capabilities across our device and life sciences businesses for example innovative design for quality, superior manufacturing and extensive training and service. And finally, we're building on trusted relationships across the global healthcare community as a partner of choice to customers, governments, payers and other companies. Our strategy is focused on four specific areas of healthcare. And they are as follows: reducing the spread of infection, number one. Number two, advancing global health. Number three, enhancing therapy. And number four, improving disease management with a particular focus on infectious disease, diagnostics and cancer and diabetes. As a result of pursuing this strategy, we expect to increase sustainable revenue growth by designing, manufacturing and marketing innovative products that address significant healthcare problems and deliver demonstrably higher benefits to healthcare workers, patients and researchers. Our plan is to grow revenue primarily organically in the 7% to 9% range on a performance basis. We will compliment this organic growth by making targeted acquisitions which could enhance key strategic capabilities. Acquisitions of this nature will be strategically obvious and any dilution from these acquisitions is expected to be short lived and modest. We remain committed to continuous improvement in operating effectiveness and productivity which in turn will assist us in accelerating our progress. Achieving excellence and operating effectiveness will result in outstanding customer satisfaction, strong cash flow and expanding operating margins. We were also very importantly enable us to increase our investments in innovation to fuel our growth. Continuously improving operating... operational performance as evidence by increasing our operating margin goes hand-in-hand with investment and innovation to build the platforms that will enable us to sustain strong earnings growth and enhance our shareholders value. So in summary, we continued to make excellent progress as we implement and execute our strategy which again is to enable the discovery and development of medical therapies to facilitate faster and more accurate diagnostic to accelerate and improve the treatment of disease and to improve... and to provide unique and affordable devices to deliver drugs and vaccines in both developed and developing markets. The future holds many opportunities for BD to support our purpose of helping all people live healthy lives. Thank you, with that we're happy to take your questions and operator and Pat please open the call for questions. Question And Answer
Operator: The floor is now open for questions. [Operator Instructions]. Our first question is coming from John Wood with Banc of America Securities.
John Wood - Banc of America Securities: Thanks a lot. John can debt and excess capital averages historical rates in this environment.
John R. Considine - Vice Chairman, Chief Financial Officer and Senior Vice President: Yes, we have no issues with the accessing capital. We... our CC kind of balance is at around $200 million at any one-time. And I would say that we've been on the shorter end of the probably out through 90 days and not up to the 364 day kind of limits. But no issues with accessing capital at all. And by the way, as you'll see on our balance sheet, we have $1 billion to cash on our balance sheet at the end of the year. We have no maturities of any long-term debt at all and our long-term debts at about 800 and we have about 200 of short-term debt but that stays, it's booked to short-term but it basically stays there.
John R. Considine - Vice Chairman, Chief Financial Officer and Senior Vice President: Okay, great. With the valuation, the equity valuation about 15% below historical levels now, I mean why not get more aggressive on the buybacks, if your capital rates are constant given the lower valuation here?
John R. Considine - Vice Chairman, Chief Financial Officer and Senior Vice President: Well, obviously we consider that, like any other guidance. There is a potential for change here. We obviously agree with you in terms of under valued nature of this stock and we'll be silent on everyone else's. But we certainly have the capacity to do that, but we will consider it as we move along. But right now, this where our preliminary guidance would stand.
John Wood - Banc of America Securities: Okay. One quick follow-up is... I mean the cash dividend policy I know you've increased in November pretty much every year for the recent past, is there any potential that your dividend policy changes as you evaluate the different tax policy or the potential changes in tax policy on cash dividends? Thank you.
John R. Considine - Vice Chairman, Chief Financial Officer and Senior Vice President: Well I mean what you're saying is correct. We have followed a pattern... that our Board has followed a pattern of taking the change in earnings per share the trailing change and increasing in the dividend along with that. So in plain English our earnings are up 15% at least for the last five or so years, our dividend is going up an equal amount. I would say right now, there's no contemplated change. We'll have to see what changes in the tax law may transpire if any and whether or not we would... how we would... might be act to those. But in terms of our total cash flow while around $300 million is not a small amount that's certainly not anything that at all concerns us, we feel very strong about that dividend and we've had an increase in that dividend over 30 years now, so its certainly part of our net income.
John Wood - Banc of America Securities: Okay. Thanks a lot for the comments.
Operator: Our next question comes from the line of David Roman from Morgan Stanley.
David Roman - Morgan Stanley: Good morning, everyone. Just wanted to get an update on maybe some of the operational side of the business, maybe we could get update on Genome and TriPath.
Edward J. Ludwig - Chairman, Chief Executive Officer and President: All right, I'll ask Vince Forlenza to do that?
Vincent A. Forlenza - Executive Vice President: Sure. From the standpoint of sales for Virginia and we finished about $42 million for the year. In terms of where we are from a product standpoint, let's start with the assays first, seal is already submitted. We've had the first round of questions. So is that or so I think we're making good progress on those assays, on the staff SR, we've gone through a round of questions and there was a request for additional data. So that one is moving ahead but has taken longer than we thought. From the instrument standpoint, we did show the new instrument at amp and was very well received. Just want to be clear that there is multiple steps here, the new chemistry and the thermo cycler moving away from the instrument that contract is up. We have plenty of thermo cyclers to get us through on transition phase. We're looking at Q1 for the new chemistry and thermo cycler kind of the end of the... the end of our fiscal year timeframe for launching that system first in Europe and then in the United States couple months after that. And then the automation, the multiplex automation that we showed is about a year after that. So that's the situation on genome from market standpoint of course California has passing legislation on MRSA requiring screening of selected patient populations. So we think that's going to be an opportunity. The new Jaco guidelines have now moved beyond just hand washing and requiring a complete program on infection control for HAI, so that includes both seat to seal and MRSA. So we think that's going to be an opportunity as well. Moving over to TriPath, starting with the status on the FocalPoint GS. We expect approval eminently and our expectation is based on what we believe has been resolving all of the outstanding issues on performance and how they relate to the labeling. So we expect that kind of any day mode, we started training our sales force on that product, we're very excited about what we believe are going to be some very good performance characteristics on that instrument. Coming back to the molecular path trial, I announced a few months ago that we had suspended that trial because of some issues in terms of work flow and difficulty of certain; let's call them less sophisticated accounts in terms of using certain personnel on running that assay. So we are going to automate it and that we have talked about using an OEM instrument for that automation, but we've evaluated five different systems and we're not satisfied with the performance of those systems. So we are modifying an instrument that we have and we will be doing that and that will delay us starting the clinical trial for about 12 months right now. On the positive side, we are moving ahead with the Ovarian program, you probably saw the announcement of the Luminex deal for the instrument for the zero markers screening program. So before Ovarian breast markers and hopefully a series of other markers. Beyond that, we've been making good progress on formatting that assay and will be doing some preclinical work out in customer labs during this quarter and starting that clinical trial in the second half of the year
David Roman - Morgan Stanley: Okay, great. And just one follow-up for maybe John. On the July conference call, you talked about guidance sort of in the 7% to 9% range; I know that it wasn't official guidance for 2009. Can you talk about what change that's related to the 6% to 8% constant currency number versus 7% to 9% for next year?
Edward J. Ludwig - Chairman, Chief Executive Officer and President: Let me take a shot at that. This is Ed. This is the... what we have been saying in investor meetings over a fairly long interval of time is that we expect that on a trajectory basis and we look at this sort of a three year intervals, we'd be able to do about a 7% to 9% top-line and about 10% to 12% bottom line, all things being equal FX-neutral on a performance basis. Okay? So lets freeze frame that. And so then let's assess 2009 in light of that guidance. On the top line if you look on an exchange neutral basis, we're expecting 7% both the diagnostic and biosciences segments of the business were actually doing at or a little bit better than that. The medical segment were guiding at about 6% which is a little below the corporate average and that is because as we have also been discussing the pharmaceuticals systems component of the medical segment is... it tends to be cyclical as a function of new drug launches et cetera and we have been saying that '09 for that part of the business will be in the low end of the range, by that I mean sort of the mid to low single-digit growth as opposed to the teams sort of growth that it has experienced in the past, and this year in fact was high single-digit. So we also expect that pharma systems will recover with new drug launches that we anticipate in 2010. So if you evaluate the 7% exchange neutral guidance for next year's revenue, it's in that 7% to 9% range it would be higher but for the performance in pharma systems. So if you look at the bottom line, our guidance of 6 to 8 to 10, 8 to 10 is the all in number and as John pointed out, that does include about 3 to 4 of FX headwind and so if you look at that on an exchange neutral basis its in that 10 to 12 envelop that we've describing on a performance basis. And that's basically a function of about a 60 plus basis point improvement in gross profit, about an 80 basis point improvement in SG&A. And about 50 basis point investment in R&D which all adds up to about a 90 to 100 basis point improvement in operating margin. So within that three year plus trajectory we're well within the envelop on a bottom line basis and will sample that envelop on the top line basis and that's primarily a function of some trends going on in pharma systems.
David Roman - Morgan Stanley: Okay. That's extremely helpful. Thank you very much.
Operator: Your next question comes from the line of Mike Weinstein from JP Morgan.
Michael Weinstein - JP Morgan: Thank you. Thanks for taking the questions. Let me do maybe three quick ones here. I want to understand the guidance on the operating margins, 100 basis points that you're forecasting. How much of that would right now come from the FX that you have in place, how much of that shows up in operating margin versus the other income lines, so how much that 100 basis points, that hedges versus the rest of the business, you have to extract. Two, you didn't mention John the R&D tax credit, which I would think would have helped your tax rate for 2009 but it doesn't appears that regarding that ways to clarify. And then lastly, the bigger picture question, I'm sure all very interested in hearing, what you're seeing in your different businesses in terms of the impact of the credit crunch in the economy and maybe you could talk about your different customers, the hospitals, the labs, the whole life sciences world which you're seeing that be great?
Edward J. Ludwig - Chairman, Chief Executive Officer and President: Let me start with the end and I will ask for a show hand in the room that you can't see if there is any elaboration, but as of now and it's still very soon... it is still very soon to extrapolate but as of now we're not seeing any disruptive or troublesome trends in our primary demand factors. The spending and research continues the pace, we are checking hospital census, hospital behaviors on the fundamental basis. That does not seem to be any unusual trends there. On the lab basis, again we have not seen any unusual trends and I'm not hearing any of my colleagues saying that they want to elaborate on it. So the bottom line is... we are highly vigilant of what's going on at the primary user level. If we were in the cosmetic surgery business, I think we'd be in a world of hurt right now, because anything that has to do with elective, out of pocket discretionary are fine, but we're not in that business. We're in sort of the basic healthcare business and so far we have not seen anything extraordinary in our primary demand. But as I said, we're continuing to monitor this. We are also continuing to monitor as importantly the health of our supplier base. We deal with large companies and small companies who provide us with goods and services. We've had a few examples of some difficulties which we had covered, we've managed to sustain the supplies, of nothing that we are alarmed about but we're looking both upstream to the customers and downstream at the suppliers and I will let John talk about the impact of the other two parts of your question.
John R. Considine - Vice Chairman, Chief Financial Officer and Senior Vice President: Yes, on the tax rate, you're right. We do have the benefit in there which would be about 30 basis points for the R&D credit. However, we have some mix issues that kind of eat that up and one is obviously as I have said, we have the hedge gain which while it takes care of our foreign currency it exists here in the U.S. and we pay U.S. taxes on that. So it would be subject to the 35% rate plus the state tax impact and that's basically what does that. With energy... so if that answer's your question on tax side within GT kind of the... we have a net pickup on FX of about 20 basis points probably in our guidance as I think Ed said, yes we continue to get good product mix and productivity in the 50s basis point area there. We get a little bit on FX and then there is a bunch of things that offset one another. So it's in there and add about that amount.
Michael Weinstein - JP Morgan: Okay, let me just clarify, it's on that R&D tax credit, there won't be in the fiscal first quarter, you won't have to catch up for FY '07 or will you?
John R. Considine - Vice Chairman, Chief Financial Officer and Senior Vice President: A little catch up, yes.
Michael Weinstein - JP Morgan: Okay. So would that first quarter tax rate be lower than the balance of the year, your assumption?
John R. Considine - Vice Chairman, Chief Financial Officer and Senior Vice President: Yes.
Michael Weinstein - JP Morgan: Okay. And then just one last question and I will let someone to jump in here. The one business that you're forecasting in organic acceleration in FY '09, its diagnostic business was up roughly appropriately 5% organic, in '08 you're saying guided in 7% for '09 we would love some color on your thoughts there.
John R. Considine - Vice Chairman, Chief Financial Officer and Senior Vice President: I'll ask Vince to elaborate on that.
Vincent A. Forlenza - Executive Vice President: Actually the growth rate in diagnostics is pretty consistent year-on-year. Elaborating a little bit we are expecting TriPath to be about 130 to 133 in terms of total sales. GeneOhm is... we're going to guide to 62 or 65 and of course where we find those estimates. Just one heads up when you compare '07 to '08 you had TriPath in to for three quarters of year in '07 and not in '08. So if you pull TriPath out and you normalize for that. Diagnostics grew 7.4 on a performance basis.
Michael Weinstein - JP Morgan:
In'08:
Vincent A. Forlenza - Executive Vice President: In '08, 7.4 in '08 and we were talking seven this year. So we Re very pretty much concerned.
Michael Weinstein - JP Morgan: Okay.Thank you guys.
John R. Considine - Vice Chairman, Chief Financial Officer and Senior Vice President: Okay good.
Operator: Your next question comes from the line of Kristen Stewart with Credit Suisse.
Kristen Stewart - Credit Suisse: Hi, thanks for taking the call. I just wanted to ask a question on the CapEx guidance, I think you'd mentioned $650 million, you've been running for the past couple of years at a little bit higher rate of CapEx spending. Just wondering if you could break it down in more detail and when should we expect CapEx might returned to a more normalized level.
John R. Considine - Vice Chairman, Chief Financial Officer and Senior Vice President: Well, the CapEx has been, as I said last year, it was about 600 million. This is going... yes, the good news is that it's going to a productive capacity expansions. We are expanding capacity in our pharma systems business. We are finishing up plants for bio-nutrient manufacturing in Miami. We have expanded the productive capacity of genome and Canada and are they're now getting in R&D facility there. And I think in general across the board we've just opened this year, a new facility for antibody production in Puerto Ricoh and so this just a general again the business running at about over 7 billion with annual depreciation in the 400 plus range, so 600 maybe a little bit high into the range, I don't think its going to come down dramatically but that's basically spending at a replacement rate so if its goes down to 500 in the future years I think that might be something we look forward to, but right now these are highly disciplined decision process that we use to allocate capital and its going for good productive capacity so.
Kristen Stewart - Credit Suisse: And then just touching again on the resin issue regarding the gross margin. You said you're aren't seeing an impact as a lower flowing through to resin prices. When do you think you might starts seeing that and I guess if you could just walk through again of what makes up the 40 to 60 basis point movement in FX that... I'm sorry in gross margins say you expect for '09? [Multiple Speaker]
Vincent A. Forlenza - Executive Vice President: So these oil as a rough proxy and I always say that because if you kind of plot oil against kind of our top five resins, there is obviously some correlation but anyone one resin might not necessarily correlate inline with that movement. When you've looked at... if you look at '08. We had a cost of about $230 million and that equated to oil being on average about a 110 lets say. And if you look at that, just start with that as I would say freeze frame that as we built our inventories in the fourth quarter of 2008, actually the reference price on oil would have been closer to 118. And so we... that is what will run to our P&L this first quarter of 2009. After that, we've cleared out that higher cost and there has been some movement of all be it not down to the 70 level. And frankly when we kind of feather in where we see it right now, we're conservatively around using $90 oil for the three quarters and not withstanding the 70s out there. That will go to about... equate to that 110 oil on average for the... I'm sorry $100 oil for the whole year. Now if it were to revert back to $70, you might remember that we said that every $10 in oil probably gives us in $70ish million or something like that. So over 7 to 9... over two quarters that would probably impact us and you're probably talking $10 to $12 million. So we don't expect a lot of extra benefit on this. If oil still stays itself around $70 in future years well then we'll see a little bit more. But that's really the answer there. And in terms of how that kind of fits into our '09 guidance, again productivity is going to give us and product mix about 50 basis points, we're going to get about 20 basis points as I said from net FX. We'll get a little bit from pricing, probably 20 basis points and then the offset is about 30 basis points and as Ed said we have a number of projects which we've talked about over the last couple of years where there is certain period across that have to be taken in that capitalizes this part of the project. These range from our medical business where we are instituting in 2009 as we said this project to generate more efficient and lower cost projects, products to the plans that we're putting in other parts of the world to certain line that are going in within medical and we could add more detail for that debt. That is what Rick represents the last amount.
Kristen Stewart - Credit Suisse: Okay, great. Thanks so much.
Operator: Our next question comes form the line of Bruce Crane with Leerink Swann.
Bruce Crane - Leerink Swann: Hi good morning.
Edward J. Ludwig - Chairman, Chief Executive Officer and President: Good morning, Bruce.
Bruce Crane - Leerink Swann: Just some clarification for me if I could, Vince, so the GeneOhm number in the quarter were somewhere around $15 million. Is that right?
Vincent A. Forlenza - Executive Vice President: So, GeneOhm in the quarter on a reported basis was 12.5.
Bruce Crane - Leerink Swann: 12.5, Okay. My math must be wrong. Didn't you say $42 million for the year?
Vincent A. Forlenza - Executive Vice President: Yes.
Bruce Crane - Leerink Swann: I got 7, 10 and 10 for the first 3 quarters, but might be wrong.
Vincent A. Forlenza - Executive Vice President: I don't have it quarterly build that, hold on a second see if we can find that for you. But it's definitely was 42.1 for the year.
Bruce Crane - Leerink Swann: Okay but while you're looking for that? So this quarter, I'm sorry was twelve was that you said?
Vincent A. Forlenza - Executive Vice President: Yes.
Bruce Crane - Leerink Swann: And then maybe our got to do in that. Could you par with the TriPath number also for the quarter? Yes, I'm prepared to pick on someone else if you want a little more time.
Vincent A. Forlenza - Executive Vice President: Just hold one a second here. So we've got 8.8, 10.4 for 10.3.12.5 42.1. Okay.
Bruce Crane - Leerink Swann: Okay. Got it.
Vincent A. Forlenza - Executive Vice President: And then TriPath for the quarter.
Bruce Crane - Leerink Swann: Yes.
Vincent A. Forlenza - Executive Vice President: TriPath for the quarter was 31.7. And just wanted to let you know that, we have changed the reporting on TriPath, so that the international sales are now reported in international of course when we bought the company, all of the sales were reported in the U.S. and as I said on a go forward basis we're looking at $130 to $133 million next year.
Bruce Crane - Leerink Swann: Okay. And you guys still thinking, you might have an HPB level on December, is that kind of moving around?
Vincent A. Forlenza - Executive Vice President: In December, it's hard to say, it's somewhere around that timeframe.
Bruce Crane - Leerink Swann: I guess some maybe there.
Vincent A. Forlenza - Executive Vice President: Yes.
Bruce Crane - Leerink Swann: And then sorry to be so detail oriented here, but John can you run through just the safety numbers again? And what I am after is for the quarter by medical and Diag, U.S.?
John R. Considine - Vice Chairman, Chief Financial Officer and Senior Vice President: Actually Gary, Bruce has the detail write in front of him.
Gary M. Cohen - Executive Vice President: All right, so you want global, do you U.S., you want international, how do you want it?
Bruce Crane - Leerink Swann: U.S. or O U.S. and then by the two pieces medical and Diag.
Gary M. Cohen - Executive Vice President: Okay. So U.S. Medical fourth quarter $142.6 million, U.S Diagnostics fourth quarter $118.4 million, International Medical fourth quarter for $49.2 million, International Diagnostics $94.1 million which totals up to Medical Global $191.2 million, Diagnostics Global $212.5 million.
Bruce Crane - Leerink Swann: Fantastic. And then can you guys comment at all, I know John you talked, I think it was John talking about the expected growth rates in safety going forward and obviously there is skew towards U.S., but can you comment at all on a FX-neutral basis, whether or not you get the same margin impact from $1 of U.S. safety sales as you do from the U.S.?
John R. Considine - Vice Chairman, Chief Financial Officer and Senior Vice President: It's pretty similar. The difference being O U.S. diagnostic safety has pretty significant component of plastic lead collection tubes which are closer in margin and characteristics to glass tubes perhaps slightly better. We are as the transition on the needle side, whether its diagnostics or medical from a conventional device to safety engineered device, typically brings with a boost in margins and we're g that internationally as well as in the U.S. its little bit difference in the product mix, there is few devices that were designed for example, specifically around European procedures which vary in product types somewhat from the U.S. based procedures. So on the whole we're getting a margin boost internationally that is a keen to what we've got for obtaining domestically.
Bruce Crane - Leerink Swann: Okay. Thank you.
Operator: Our next question comes from the line of Sara Michelmore from Cowen and Company.
Sara Michelmore - Cowen and Company: Good for taking the question. I think we discussed it briefly but just in terms of the pharma systems from the dynamics they're going forward. What specifically is going on in terms of... it sounds like you're heading into a little bit of transition period particular in U.S., what exactly is going on there and when should we think about you exiting that period? Does it in the current fiscal '09 or do you have to wait till fiscal 2010?
Edward J. Ludwig - Chairman, Chief Executive Officer and President: Well'09 is going to a life relative to past experience. As I said it's all in on performance basis in sort of the low single-digit, I'll let Gary elaborate on some of the particulars.
Gary M. Cohen - Executive Vice President: Yes the... we had spoken over the last several calls to ensure everyone would anticipate that, at the end of '08 and as through '09, the U.S. pharma systems business would show reversal of the extraordinary growth that is been obtaining over for last several years. It was well characterized reasons, some of which are customer related such as the circumstances around e-bill, and some of which you could say is tiny related and that involves the delay in timings for approvals of generic or molecular weight heparins. And then there's a few other factors that are not related to our position in this business but more or so external factors with our customers. We do anticipate and we have previous visibility in this business that that will turn back the other way in 2010. You can expect negative sales growth in 2009 in the U.S. for pharma systems but continuing good growth outside of the U.S. which is the largest component for that business. On the whole, as I said that'll bring overall performance foreign exchange mutual growth to mid, low to mid single-digits. We have beat internationals obviously driving positive in that but being affected my exchange rates. And as we said, we're expecting not to turn back the other way in 2010. The overall characteristics of the business are very healthy and Ed mentioned is well we're in the midst of building a new plans. So that's a good sign of our confidence in the future growth for that business.
Sara Michelmore - Cowen and Company: And just as a follow up Gary I know that you mentioned that there in this current upcoming fiscal year there are some opportunities for cost manufacturing reductions and a medical products business. Could you just give us an update in terms of what those specific plans and opportunities are there?
Gary M. Cohen - Executive Vice President: I will give you a general... some general response to that. First product improvement is a constant driver in these businesses, as the basis of competition as well. And that is both the combination of ongoing productivity improvements that comes from the efficiency of our plans plus, I would characterize as problematic for project base. Then we are in the midst of planning project based improvements that are rolled out over series of years and that will further improve our overall cost position. Which will benefit both gross margins and also this is the general competitive position, globally, but that... the details on that will follow as we progress, but something that will rollout over several years.
Sara Michelmore - Cowen and Company: And lastly Gary just an update on Nexiva and the product rollout there. Thanks.
Gary M. Cohen - Executive Vice President: We're getting really good growth from Nexiva. We were very pleased with the results in 2008, for expecting continued strong growth in 2009, that was messed somewhat by characteristic and some of the other safety devices as we described the past call, there is one category of access system, needleless IV access systems that had been declining and that offset some of the Nexiva growth but we had about 15% growth rate in Nexiva in the fourth quarter and we are expecting very strong growth in 2009, so its going pretty much according to how we would have expected it.
Unidentified Analyst: Alright, thank you.
Operator: Our next question comes from the line of Eric Christelow [ph] from Thomas Weisel Partners.
Unidentified Analyst: Good morning, Ashley for taking my question. Just filling in for Peter Lawson here. I was wondering on the interest income and the other income lines, its looks like the interest income was a little lower than usual, what was going on in the quarter? And also what was going into the other income line?
Edward J. Ludwig - Chairman, Chief Executive Officer and President: Let me just figure out those numbers. These are about the quarter.
Unidentified Analyst: Yes, the quarter please.
Edward J. Ludwig - Chairman, Chief Executive Officer and President: Well our interest income in the fourth quarter was about $7 million and the interest expense was $9 million. In terms of other things, we have a deferred compensation program and which is... its based on a program that where we go out and we buy investments within an insurance rapport without getting too complicated here, customer life insurance and there are investments in there. So when somebody differs salary or bonus, they invest in one of these things... we actually so that we're not at risk with the liability. So in situations where the investments go down, our liability goes down and we'll end up taking a benefit if you will on the liability side and we put... the other side of the entry unfortunately because of the accounting goes on the interest income side and I think in the fourth quarter, we we're looking at about a net of deferred comp of about 13 net of whether other interest type charges of 6, so there's another 7 in there. There is really no major change on that mind. It just has to have... it has to do with the interplay mainly on deferred comp between SG&A which is where it's been booked and here on the interest income line.
Unidentified Analyst: Okay, great thanks. And I guess on... with the market, just the durations that have happened, any update or any insight into how that might affect your pension obligations?
Edward J. Ludwig - Chairman, Chief Executive Officer and President: Well, we're locked in for pension cost this year, really no big difference between last year. We were fortunate; we put $75 million into the pension just before the end of the year and $75 million just after it. We put that into really a cash investment account just obviously looking at not the tea leaves but the trees blowing around. So we didn't invest that so we didn't take any hit on that of our pensions, we are... without that we're typical 65, 35 kind of equities versus fixed income. We probably lost a couple $100 million bucks on the equity side that won't get us outside of the quarter from accounting standpoint. So that'll be going to loss column and be amortized over year. So that will happen in the following year in 2009, and it be just I don't what the discount rate will look like then, but for 2010... for 2009 we'll be just about where we were in 2008 in terms of our pension expense, the assets will go down but certainly on an average not nearly as much as others might have since we were lucky enough to put that money into cash.
Unidentified Analyst: Okay. Thank you.
Operator: Our next question comes from the line of Jeffrey Frelick with Lazard Capital.
Jeffrey Frelick - Lazard Capital: Thanks, good morning everyone. Bill, could you give us a breakout of how much your growth by the end-user segment, meaning, clinical versus research?
William A. Kozy - Executive Vice President: Jeff, I don't have that level of detail. You are talking specifically just about the cancer platform, I can't comment on growth on the clinical-based instruments if that's helpful. I mean if you look at our developing world activity, particularly looking at the caliber as well as the fact count. We had strong double-digit growth in both those platforms in a quarter and wrapped up the year, again with strong double-digit growth on those. We can't tell you what your course is a mix instrument close to what the clinical and the research science is about half and half on both side can't tell equally strong for both the quarter in the year with strong double-digit growth little north of 27%.
Jeffrey Frelick - Lazard Capital: Okay, great thanks Bill. And then just quick question for Gary just a follow-up on Nexiva. What was the full year '08 sales growth?
Gary M. Cohen - Executive Vice President: It doubled this you, just curious for the full year. 60%.
John R. Considine - Vice Chairman, Chief Financial Officer and Senior Vice President: 60%.
Jeffrey Frelick - Lazard Capital: Okay. Thank you very much.
John R. Considine - Vice Chairman, Chief Financial Officer and Senior Vice President: And I understand we have one more question to go operator.
Operator: Our last question comes from the line of James Baker from New Berger Berman [ph].
Unidentified Analyst: Gentlemen I just wanted ask a question about the first three quarters had a combined $17 million of inventory write-offs that affected gross margin if I could your EPS with that $0.05 a share. So A, were there any such write-offs in the fourth quarter and B, did your guidance for 2009, sort of incorporated a similar level of write-offs, or you're assuming that level drops to a lower level if possibly zero?
John R. Considine - Vice Chairman, Chief Financial Officer and Senior Vice President: I think the answer is no and no. We... as a matter of accounting principally, you can't anticipate something that hasn't happened yet. And so in the future we have not anticipated any asset impairments on inventory. We look at that on a regular basis and so that, the '09 guidance and we're looking at the fourth quarter seriously, there might have been any nits and nets in there very small. But there was a modest amount in the fourth quarter and nothing in the future.
Unidentified Analyst: Thank you.
John R. Considine - Vice Chairman, Chief Financial Officer and Senior Vice President: Okay, thank you all for joining us. Again, it's a pleasure to welcome David Elgins to our team and to congratulate Vince on his new role and Gary and Bill on their new roles. And we look forward to serving our investors and our customers with this new team in the future and in spite of the challenges, we continue to find extraordinary opportunities in this space. And we're going to keep driving and look forward to talking with all of you in the future. So we're going to sign off. Thank you.
Operator: Thank you. This does conclude today's teleconference. Please disconnect your lines at this time and have a wonderful day. .